Operator: Good afternoon. My name is Audra, and I will be your conference operator today. At this time, I would like to welcome everyone to Revolve's Second Quarter 2023 Earnings Conference Call [Operator Instructions].  At this time, I would like to turn the conference over to Erik Randerson, Vice President of Investor Relations at Revolve. You may begin.
Erik Randerson: Good afternoon, everyone. And thanks for joining us to discuss Revolve's Second quarter 2023 results. Before we begin, I'd like to mention that we have posted a presentation containing Q2 financial highlights to our Investor Relations Web site located at investors.revolve.com. I would also like to remind you that this conference call will include forward-looking statements, including statements related to our future growth and profitability, market opportunities, macroeconomic and industry trends, business, operations and marketing initiatives and investments, international expansion, our stock repurchase program, growth in active customers, our inventory balance and management and our outlook for net sales, gross margin, operating expenses and effective tax rate. These statements are subject to various risks, uncertainties and assumptions that could cause our actual results to differ materially from these statements, including the risks mentioned in this afternoon's press release as well as other risks and uncertainties disclosed under the caption Risk Factors and elsewhere in our filings with the Securities and Exchange Commission, including, without limitation, our annual report on Form 10-K for the year ended December 31, 2022 and our subsequent quarterly reports on Form 10-Q, all of which can be found on our Web site at investors.revolve.com. We undertake no obligation to revise or update any forward-looking statements or information except as required by law. During our call today, we will also reference certain non-GAAP financial information, including adjusted EBITDA and free cash flow. We use non-GAAP measures in some of our financial discussions as we believe they provide valuable insights on our operational performance and underlying operating results. The presentation of this non-GAAP financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information prepared and presented in accordance with GAAP. And our non-GAAP measures may be different from non-GAAP measures used by other companies. Reconciliations of non-GAAP measures to GAAP measures as well as the definitions of each measure, their limitations and the rationale for using them can be found in this afternoon's press release and in our SEC filings. Joining me on the call today are our Co-Founders and Co-CEOs, Mike Karanikolas and Michael Mente; as well as Jesse Timmermans, our CFO. Following our prepared remarks, we'll open the call for your questions. With that, I'll turn it over to Mike.
Mike Karanikolas: Hello everyone and thanks for joining us today. I’ll begin with a recap of our second quarter results. And then I’ll conclude by highlighting key operating priorities, investments and growth initiatives we are very excited about. Net sales decreased 6% year-over-year to $274 million in the second quarter, a slight improvement from the 7% year-over-year decline in April 2023 discussed on last quarter’s conference call. As you have heard from many companies, the U.S. remains very challenging for consumer discretionary spending, particularly for our younger customer demographic. Net sales in the U.S. decreased 7% year-over-year, partially offset by international net sales increasing 4% year-over-year, highlighted by exceptional growth in Mexico, which has become one of our most important international markets.  Our gross margin was 54%, a meaningful sequential improvement compared to the first quarter’s 49.8%, yet as expected, gross margin remained lower compared to the second quarter of 2022 when our mix of net sales at full price was exceptionally high. Net income for the second quarter was $7 million, or $0.10 per diluted share, and Adjusted EBITDA was $10 million, or 3.8% of net sales. Our profitability was significantly lower than last year’s second quarter, primarily due to the decline in net sales, the lower gross profit year-over-year and continued pressure on operating expenses, in large part due to a higher return rate. We view the current macro environment as a near-term headwind on our path towards resuming attractive growth rates and margins over longer term horizons as we have demonstrated with our long-term historic track record of attractive growth and profitability. And importantly, challenging operating environments create opportunities for financially strong and cash generative companies like Revolve to further separate from the pack by continuing to prudently invest through the cycle while some industry peers have no choice but to play defense. With that in mind, I’ll now recap several important growth and efficiency initiatives that we believe will further strengthen our foundation for profitable growth over the long term. We are currently extremely focused on driving cost efficiencies within our global shipping and logistics operations to help offset cost pressures resulting from a higher return rate year-over-year. As an update on this important initiative, this week we plan to launch a new process that we expect will drive meaningful efficiency gains for future periods by consolidating all return shipments coming back from Canada to the United States. And, separately, in the United Kingdom, we also just began to hold certain product returns in the UK for local re-fulfillment to UK customers without shipping the products all the way back to the U.S. as we historically have done. This initiative both reduces shipping costs and provides even faster service for our valued customers in the region. These are significant wins in two large international markets that demonstrate great execution and results in a short period of time as we have focused on leveraging our scale to drive efficiencies and continued improvement in our best-in-class customer service. Most importantly, our team is aggressively pursuing a long list of initiatives that we are confident will help us gain significant further efficiencies in the coming quarters. I look forward to sharing our progress in this area as we move forward. We continue to expand the use of AI and machine learning across several key areas of our operations to drive growth and efficiencies. During the second quarter, we launched a new type of AI-powered merchandising that leverages image recognition to recommend visually similar items to customers. To illustrate an impactful use case, when consumers are looking at a product on REVOLVE that is currently out of stock, our AI technology engages with the customer to recommend visually similar items. This enhancement demonstrated a notable conversion lift in our A/B testing conducted prior to launch. Separately, we are continuing to advance efforts to integrate AI into our owned brand design, which we view as an exciting opportunity to enhance creativity and accelerate the product development cycle We are also actively leveraging technology in evaluating solutions to optimize our return rate. Consistent with our customer first focus, our efforts to reduce return rates over time will not detract from the customer experience. In the third quarter, we will be experimenting with several new initiatives including a virtual try on and size comparison feature tool that went live last month and we are testing a wide range of tools and visuals to better communicate product fit – such as enhanced fit rating customer reviews, detailed product fit guides, and video content within product detail pages.  Shifting to international expansion. We recently appointed our first-ever head of Greater China to further strengthen the foundation for future expansion in the region. We plan to further build out our local team on the ground in China to expand key relationships and brand awareness, which is important since the marketing and social media channels in China are different than in all other markets we operate. Considering the size and importance of the China ecommerce market, we believe now is the right time for us to invest in a more meaningful way. To illustrate our growth potential in China, I’m excited to share that REVOLVE was the #6 ranked fashion brand on the Tmall Global marketplace during the month of June. This recognition and success contributed to our continued growth in China in the second quarter, and illustrates the level of interest in REVOLVE in this very large market.  Lastly, and continuing on the international theme, we are also expanding our borders for talent acquisition. After demonstrating during the pandemic that a distributed workforce can work very efficiently for many functions, we have begun expanding our hiring scope well beyond California into select overseas markets. In the past several months we have successfully attracted talent for technology, customer service and other functions in countries outside of the U.S. It’s exciting because hiring engineers in a competitive U.S. market has historically been a real challenge for us due to our very high standards, and hiring outstanding talent overseas provides an added benefit of being able to efficiently work on development projects around the clock. While we expect this important initiative to result in some cost efficiencies, it is not our primary focus. What we are most excited about is meaningfully expanding the available talent pool to even further raise the bar on our exceptionally high standards, as demonstrated by our achievement of record net promoter scores every year for the past few years. We have recently opened our first office overseas to guide this important effort. I am pleased with our team’s execution on these important initiatives that are key building blocks for our continued long-term growth and profitability. Our long-term mindset and strong balance sheet, combined with our conviction in the strength of our business model and confidence in our team to execute through the short-term challenges and over the long-term, led our Board of Directors to authorize a $100 million stock repurchase program. Since we view the current environment as a near term headwind and remain confident in our longer-term opportunity to drive growth and profitability, we view stock repurchases as an attractive and accretive use of our capital. We authorized the stock repurchase program with confidence that the nearly $270 million in cash and no debt on our balance sheet gives us financial flexibility to remain opportunistic to invest in the business across multiple dimensions in our efforts to drive shareholder value. In summary, while we will certainly face more near-term challenges in the current environment, we will remain nimble and continue to focus on our hallmarks of technology innovation, operating efficiency and brand building to capture more share of the very large market. We remain squarely focused on investing in the long-term opportunity ahead of us, leveraging our 20 years of operating experience and our competitive advantages to guide us through these uncertain times.  Now, over to Michael.
Michael Mente: Thanks, Mike, and hello everyone. Our headline numbers for the second quarter, during a very challenging macro environment, aren’t reflective of what we believe is our long-term growth potential. Despite the short-term challenges, with our strong business model and focus on the long term, we have been able to deliver on important operating priorities that should prove to be beneficial in the years to come. I’m particularly pleased with our early momentum in driving efficiencies in our shipping and logistics operations and in our innovations to leverage AI to drive further operational efficiencies, optimize processes and enable deeper connections with next-generation consumers. Speaking of connecting with customers, a highlight of the second quarter was the unveiling of our first-ever physical experience for FWRD here in Los Angeles. Inspired and curated by our Creative Director Kendall Jenner, the destination launched in early June and is an incredible showcase of the FWRD brand and our luxury brand partners. A private opening night reception hosted by Kendall Jenner and attended by many other A-Listers created meaningful buzz that has continued to gain strength as favorable word of mouth has spread. Many of our high value FWRD customers flew into Los Angeles for the opening night event, demonstrating the strong interest among our most loyal customers. The brand elevating experience has enabled us to engage deeply with FWRD customers, connecting with them in ways we have never done before. Traffic flow and customer interest have been great and customer feedback has been exceptional.  We are learning a great deal and hearing on a consistent basis that customers love our selection and curation, more than long-established luxury destinations in the area. Many of our top FWRD customers based in Los Angeles have enjoyed the opportunity to pre-select items online to try on in person, and also conveniently return items they had previously purchased online from FWRD or REVOLVE. This has driven traffic flow and conversion, demonstrating synergies with our ecommerce operations that we’ll consider as we continue to evaluate whether physical retail has a place in our growth strategy long term. Another takeaway from the experience is that our luxury customers truly embrace the pre-owned vintage handbags in our new FWRD Renew offering discussed on prior investor calls. In fact, during a recent day at the FWRD Pop Up, we sold two pre-owned vintage handbags for more than $35,000 each in a single day.  The continuing success of the FWRD Renew offering further validates the demand for pre-owned handbags among our customers. As a result, later this quarter we plan to meaningfully expand our growth potential in luxury resale by offering Renew to the much larger set of customers on REVOLVE as well. Finally, our FWRD brand partners have been incredibly supportive of our efforts to engage our community in a truly differentiated destination. We have hosted around 20 impactful events with revered luxury brands including Versace, Miu Miu, Blumarine and Anastasia Beverly Hills just to name a few, with many events focused on our emerging Beauty category. Additionally, several of our luxury brands have created exclusive offerings for the FWRD experience that are not available anywhere else. If you are in Los Angeles before August 13, please drop by and see us at 8804 Melrose Avenue in West Hollywood. The second quarter was a very busy period of investment for brand marketing, anchored by the successful REVOLVE Festival in April that I talked about on last quarter’s conference call, the FWRD physical experience, as well as a well-timed event to support our best performing international market. In June, we hosted a weeklong brand activation with a series of events in Mexico City to showcase the REVOLVE brand and lifestyle, and spread the word about our outstanding service levels that have been integral to our growth and customer loyalty around the world. The events drove tens of millions of social media and press impressions, often emphasizing a consistent theme that going shopping in Mexico has never been so easy as with REVOLVE.  Most exciting is that our impactful events served as a catalyst in driving a spike in new customer growth across Mexico, which had already been in triple-digit year-over-year growth territory even before the event. Mexico is now a top 5 international market for us, demonstrating how we can leverage our brand and operational excellence to capture the very large international opportunity. Our impactful marketing has also contributed to the success of recent owned brand collaborations. HELSA, our brand collaboration with Elsa Hosk that is exclusively available on REVOLVE and FWRD, continues to perform incredibly well. We just had our fifth HELSA drop and it was the most successful yet. We also launched an exclusive new collaboration with model and social media personality, Cindy Kimberly, that has resonated very well with our increasingly global customer base. As mentioned on prior investor calls, the softening consumer demand in recent quarters combined with our elevated inventory position entering 2023 led us to be more conservative in planning owned brand inventory buys since owned brands require a deeper inventory commitment per style than third-party brands. Yet the success of our recent collaborations illustrates the power of our owned brand platform and serves as a positive indication of the owned brand potential longer term.  I’ll close with an update on our continued successful journey to expand into Beauty and Men’s, two areas that offer exciting growth potential. Both categories continued to grow at attractive rates in the second quarter, double-digit growth on a combined basis, benefiting from increased focus under our new leadership in these areas and continued improvement to our brand assortment. I continue to be confident that once we optimize the product assortment for these categories, the business will follow because these are very large market segments and considering that we have earned our customer’s trust and attention by consistently exceeding their expectations. We have several exciting brands in the queue to onboard in the third quarter, particularly in the Beauty category, which should help Beauty become an even more important source for acquiring new customers than it already is. It's noteworthy that some of our recent Beauty best sellers have generated a significant portion of their recent sales volume through our partnership with TikTok Shop. It’s still early days, yet it’s exciting to see validation of the potential for TikTok as a new channel for growth.  In closing, the current environment is clearly impacting demand for many consumer discretionary items, particularly apparel in the U.S. But we take the long view. We remain on offense, energized and investing for growth and expansion for years to come. I’m more excited than ever and my confidence in the long term is underscored by our recently announced $100 million stock repurchase program. Mike and I own nearly 45% of the outstanding common stock and we continue to see a significant runway for growth in the years to come. I want to express my sincere thanks to the team for keeping us at the forefront of innovation and maintaining an unwavering focus on the customer.  Now, I will turn it over to Jesse for a discussion of the financials.
Jesse Timmermans: Thanks, Michael, and hello everyone. I’ll start by recapping our second quarter results and then close with updates on recent trends in the business and commentary on our cost structure as we look ahead.  Starting with the second quarter results. Net sales were $274 million, a year-over-year decrease of 6%. Linearity of our net sales comparisons year-over-year was fairly consistent throughout the quarter. REVOLVE Segment net sales decreased 4% and FWRD Segment net sales decreased 15% year-over-year in the second quarter. The FWRD comparison reflects softening demand among our luxury customers, particularly in the U.S., consistent with commentary from several luxury retailers and brands in recent months. By territory, domestic net sales decreased 7% and international net sales increased 4% year-over-year. Active Customers, which is a trailing 12-month measure, increased by 34,000 customers during the second quarter. This growth expanded our active customer count to 2.5 million, an increase of 14% year-over-year. In the near term, we expect further moderation in the quarterly growth of active customers.  Our customers placed 2.3 million orders in the second quarter, an increase of 1% year-over-year. Average order value was $301, a decrease of 1% year-over-year. Shifting to gross profit. Consolidated gross margin was 54.0%, above the high end of our guidance range. The decrease of 198 basis points year-over-year primarily reflects a lower mix of net sales at full price compared to the second quarter of 2022.  Moving on to operating expenses. Fulfillment costs were 3.4% of net sales, slightly higher than our guidance. The deleverage of 71 basis points year-over-year was primarily due to a year-over-year increase in our return rate, higher wages for our fulfillment center staff, and utilization not yet fully optimized in our recently expanded fulfillment network. Selling and distribution costs were 18.6% of net sales, slightly better than our guidance. The increase of 68 basis points year-over-year reflects higher costs for customer shipments, primarily due to the higher return rate year-over-year. We are aggressively pursuing initiatives both to reduce our shipping and logistics costs and to address the increasing return rate.  Our marketing investment represented 18.8% of net sales, an increase of 91 basis points year-over-year, reflecting increased investment in brand building during a very active quarter for our impactful marketing events, including REVOLVE Festival and the many events at the FWRD Pop Up. General and administrative costs were $28.6 million, or 10.4% of net sales, slightly lower than our outlook we provided last quarter. The year-over-year decline in G&A costs primarily reflects a $5 million accrual for a legal matter in the second quarter of 2022. Our effective tax rate was 25% and Net income was $7 million, or $0.10 per diluted share, a decrease of 55% year-over-year that was impacted by the net sales decline, a year-over-year decrease in gross profit, and continued pressure on operating expenses. Adjusted EBITDA was $10 million, a decrease of 61% year-over-year.  Moving to the balance sheet and cash flow statement. Inventory at June 30, 2023 was $205 million, a decrease of 2% year-over-year, very close to the 6% year-over-year decrease in net sales. It was the fourth consecutive quarter when we have narrowed the spread between our year-over-year inventory growth and year-over-year net sales growth. Net cash used by operating activities and free cash flow in the second quarter were negatively impacted by a $15 million increase in inventory when compared to the first quarter of 2023, in part due to the continued pressure on net sales. For the six months ended June 30, 2023, net cash provided by operating activities was $35 million and free cash flow was $33 million, an increase of 42% and 49% year-over-year, respectively. Cash and cash equivalents as of June 30, 2023 were $269 million, an increase of $31 million, or 13%, year-over-year, yet was $14 million lower on a sequential basis compared to the first quarter of 2023. Our balance sheet as of June 30, 2023 remains debt free.  Now, let me update you on some recent trends in the business since the second quarter ended and provide some direction on our cost structure to help in your modeling of the business. Starting from the top. The top line pressure we experienced in the second quarter has continued, with net sales for the month of July 2023 down a mid-single digit percentage year-over-year. We believe the uncertain macroenvironment continues to weigh on our customer’s purchasing behavior and consistent with the second quarter results, during July, year-over-year net sales comparisons in the REVOLVE Segment continued to outperform the FWRD segment, and year-over-year net sales comparisons for our international business continued to outperform our domestic business.  Shifting to gross margin. We expect gross margin in the third quarter of 2023 of between 52.0% and 52.3%, implying a much smaller year-over-over decrease than in recent quarters, only 85 basis points at the midpoint of the range compared to a nearly 2-point year-over-year decline in the second quarter and an almost five-point year-over-year decline in the first quarter of 2023. For the full year, we are narrowing our gross margin expectations to a range of 52% to 52.5%.  Fulfillment: The continued top-line uncertainty and higher-than-expected return rate are leading us to take a slightly more conservative view of fulfillment efficiency for the full year 2023. We expect fulfillment as a percentage of net sales to be around 3.3% for the third quarter of 2023 and now expect fulfillment to represent 3.3% of net sales for the full year 2023.  Selling and Distribution: We expect Selling and Distribution cost efficiency to improve on a sequential basis and represent around 18.3% of net sales for the third quarter of 2023 and 18.3% of net sales for the full year 2023. The slight increase from our previous full year guidance primarily reflects a higher-than-expected return rate. The full year 2023 outlook for Selling and Distribution costs includes our assumption that we will generate increasing cost efficiencies in the second half of 2023 resulting from a variety of shipping and logistics efficiency measures we are pursuing. These benefits will partially offset the negative impact of the expected higher return rate year-over-year.  Marketing: We expect our marketing investment in the third quarter of 2023 to represent approximately 15.8% of net sales, a 3-point sequential decrease from the second quarter and an 80-basis point decrease year-over-year compared to the third quarter of 2022. For the full year 2023, we expect marketing to be within the range previously communicated, of 16.0% to 16.5% of net sales.  General and Administrative: We expect G&A expense of approximately $29 million in the third quarter of 2023 and $115 million for the full year 2023, at the high end of our prior full year outlook range. And lastly, we continue to expect our effective tax rate to be around 24% to 26%, consistent with the past several quarters. To recap, while we view the current environment as quite challenging for consumer discretionary spending, we are focused on delivering shareholder value over the long term. Our team is investing significant time and energy into a broad range of exciting initiatives that we believe can extend our competitive advantages and benefit REVOLVE for years to come, particularly as the broader macro-economic environment improves. Now we’ll open it up for your questions.
Operator: [Operator Instructions] We'll take our first question from Anna Andreeva at Needham & Company.
Anna Andreeva: A couple of modeling questions from us. First on gross margin. Just trying to understand what drove the beat to guidance for the quarter? And inventories are in pretty good shape at down 2. So what's driving that gross margin decline in the third quarter versus the previous guidance for margins to be directionally up, is there any additional carryover at FWRD that you guys are working through? And then secondly, just on marketing, has been managed really tightly and even a bigger dollar decline in 3Q. So just curious how do you guys think about that trade down in preserving margins by managing marketing down versus the company returning to growth? And can you talk about some of the savings, where are they coming from and how sustainable are those?
Jesse Timmermans: I'll start and then maybe kick it over to Mike and Michael for some of the marketing questions. There's a lot there, so I'll start with gross margin. The guide down from Q2 to Q3 sequentially is largely seasonality. We typically see our highest margin in Q2 and then it takes a step down in Q3 to the tune of anywhere from 2 points to 3 points. So we feel like margins -- healthy margin is in line. To your point, there is some additional carryover from FWRD. We feel like inventory overall is healthy that differential between the sales growth and the inventory growth has compressed again this quarter and down to 4 points. So we feel good about that. But it is taking a little bit longer on the FWRD side. So there is more -- I guess, more compression on FWRD than there is on the REVOLVE side. So I think that covers gross margin and inventory. Some of the other cost savings, if you're referencing just the general cost savings. A lot of initiatives at play, the team is working hard on those and those are starting to take effect if you look at the selling and distribution guidance that we've given, that factors in some sequential improvement in that line item, and that will carry forward more importantly into 2024 and beyond.
Anna Andreeva: I guess, on the marketing side, should we expect a similar under 16% run rate as we look into next year as well as you guys are finding some of those efficiencies?
Jesse Timmermans: Maybe on the market modeling quick before Mike jumps in. I think in that 16% to 16.5% zone is where we like to be. There is volatility quarter-to-quarter. Q2, of course, is a larger investment quarter with REVOLVE festival that typically falls in that quarter. And then we had the 20 events at the FWRD Pop Up. So there is quarter-to-quarter volatility but in that 16% range is a good place to be. And we are gaining more efficiencies on the performance marketing side, and then, Mike?
Mike Karanikolas: I would just echo that thought. With brand marketing, it's very timing dependent, depending on which events we want to do at a time that we think makes sense. And a lot of it's opportunistic, it's important on the brand marketing side to keep things new and exciting and fresh. So that kind of drives the timing more than say, hey, we want this quarter to come at this percent and that quarter to come in at that percent. And then more broadly with marketing, we want to continue to invest in marketing in a big way, it's important for long term growth. So there's going to be plenty of dollars going towards that, particularly on the brand marketing side. With performance marketing, we talked about on past calls how we were tweaking things to try to get a little bit more efficient there. And I think we've made some good moves there and hopefully, that will continue through the coming quarters.
Operator: We'll move to our next question from Randy Konik at Jefferies.
Randy Konik: I just want to get a little more color first on the return rate strategy change or policy changes and give us some perspective on how meaningful you think those changes can be to the -- not the next quarter, but like let's say, over the next four to eight quarters, in improving efficiency there. Maybe give us a little bit more quantitative impact there. And then the other thing I just wanted to ask just around gross margin. FWRD's growth margins have obviously come in pretty significantly. Where is the bottom do you think in those gross margins? And when do you think they bottom over the next, do you think they bottom over the next one to two quarters? Just kind of give us a little help there as well.
Mike Karanikolas: So on the return rate side, we're not focused on policy changes at this point. One of the things we are working on that we didn't mention it in the prepared commentary was that, yes, we are looking at slight tweak from a policy standpoint for small subset of our customers. But the focus is on making changes that are going to impact return rate in a very helpful way for customers. We're hopeful we can drive meaningful improvements there. We think we have great initiatives and projects that make a lot of sense that we're going to be trialing some of those in the third quarter. At this time, it's too early to say how much of an impact those sorts of investments can make, we're certainly excited to see what they can bring to the table. And then on the forward gross margin side, I would defer to Jesse in terms of any commentary on how you guys should model and project that.
Jesse Timmermans: Yes, I think you got it, Randy, in that we are close to the bottom there. I'd say, over the next one to two quarters, we'll be in this zone before things start to rebound. And then I think important to remember that last year, especially in that kind of back half of '21 into the first half of '22 and especially in this 2Q '22, we are checking at really record full price mix. So that FWRD margin -- and both on FWRD and REVOLVE was really healthy. So I don't see us getting back to the high 40s anytime soon but creeping up into that mid-40% range again over time. But to your point, I think, troughing out over the next one to two quarters.
Randy Konik: And can I just ask one more last follow-up here. Just on the commentary around the younger demographic trends. Maybe give us a little more color on what they're doing or not doing, or in terms of price hesitancy or category changes or [hesitancy] there? Just give us a little more flavor of what they're doing or not doing in terms of their shopping behavior?
Mike Karanikolas: So what we've seen is, certainly, there's a lot of caution in terms of their discretionary spending. Last year, they were feeling great and bullish about the future and very excited to engage in the world after the COVID lock-ups and also, a lot of them refreshed their wardrobe and there's kind of cycles there. So we're seeing a bit of a rebound the other way in the wardrobe refresh cycle and also where consumers are putting their dollars where more dollars are going towards experiences and services and fewer dollars towards goods, particularly discretionary goods, particularly among that younger demographic or that more aspirational demographic that has to watch their pocketbook a little bit more closely.
Operator: We'll go next to Edward Yruma at Piper Sandler.
Edward Yruma: I guess first, just to click down on the return rate again. Are you seeing -- I know some of the increase in return rate was due to mix shift and kind of more addresses. But are you seeing kind of more of the -- I'm buying in and return everything, which seems to be more of a sign of a macro, or is it still kind of more of the sizing issues that hopefully you can ameliorate with tech tools over time? And then as a follow-up on the FWRD question, I guess, I know lead times there can be longer. Are you taking a different kind of short to medium term positioning against that luxury younger consumer that may be more impacted by some of these macro pressures?
Mike Karanikolas: So on the return rate side, what we're seeing is very macro based. It spans across categories, across order types, across customer types, across cohorts of merchandise and whether we look at recent cohorts of merchandise or say bestsellers from one or two years ago, we're seeing the increase in return rates across the board, right? So it's clear there's not some kind of sizing difference or quality difference or something like that going on, that's very macro based behavior. And again, we're seeing it in other retailers as well. That said, there's a ton we can do in terms of making the process easier for consumers to understand what items are going to work great for them and we think we can make a meaningful impact in that zone regardless of what's going on, on the macro side of things. And then switching gears to FWRD and kind of our outlook there. Yes, our outlook in the medium term is one of caution in the luxury zone, particularly for those aspirational customers that are reaching up and that's reflected in our inventory purchase plans.
Operator: Our next question comes from Mark Altschwager at Baird.
Mark Altschwager: Is there anything beyond the macro you can point to that you believe might be contributing to the ongoing sales pressure? I guess, any opportunities you see from a product or marketing execution standpoint that you think you could move the needle in the coming quarters should the macro remain a headwind?
Mike Karanikolas: We think the primary headwind is certainly on the macro side. But at the same time, our expectation is that we outperformed the market, right? And we believe we're not at the level of outperformance we expect to be right now. So we're certainly looking inward to see what we can do certainly to accelerate things, make sure we connect better with the consumer. And that includes all fronts, both on the marketing side and then also the merchandise side.
Mark Altschwager: And then just following up on gross margin, the lower outlook versus the prior forecast. I guess the seasonality in the business hasn't changed versus when you guided earlier in the year. So just to understand, is the more cautious gross margin outlook for the back half all a function of forward taking longer to clean up or is there any element of planning higher promotions at REVOLVE to drive traffic and conversion?
Jesse Timmermans: No, it's in part and I would say mostly that FWRD dynamic and just the timing around those buys and working through that inventory. There is also an element on owned brands. Whenever we're in the inventory correction periods, we pull back on owned brands more than on the third party given the depth that we have to produce there. And of course owned brand has a much more premium margin than that of the third party, so that has an impact in the near term. So that is certainly part of it. Promotion and promotional activity out there, we still see it as being elevated, especially in those higher price points and just the market still being flooded with that luxury product and the combination of that with the consumer struggling, as Mike talked about.
Operator: We'll go next to Kunal Madhukar with UBS.
Kunal Madhukar: One, just to reconfirm. Your turn rate for the quarter was around 60%, that's what I'm estimating. So I just wanted to reconfirm that number. And then as we look at your AOV, the AOV has remained pretty firm. I was thinking maybe the AOV would decline simply because the mix of full price might be much lower. So how are you looking at AOV for the rest of the year, how are you thinking about that?
Jesse Timmermans: First, on the return rate, you're plus or minus in the right zone there, that's a 50%, which of course, is much higher than last year, and we kind of addressed that earlier. Then on AOV, we're pleased with the AOV. It is coming in just a touch call it, $1 or $2 lower than we had initially anticipated, and that's largely due to the softness on FWRD, which of course, carries a much higher price point than REVOLVE. But full price is come back, it's not at the levels of last year when we were checking out those record full price levels. It was 85% for the full year last year, we expect to be several points lower than that this year. But still at or above the pre-pandemic 2019 level. So we feel good about the -- shifting back into the full price mix, AOV is holding despite some pressure from the mix of forward sales.
Operator: We'll go next to Jim Duffy at Stifel.
Jim Duffy: I'm hoping you can speak more about category performance. Beauty continues to grow, which categories have seen the most pressure from the consumer pullback in discretionary spend? And then hoping you can discuss it in the context of the inventory with the inventory, yes, the sales has improved, but the year-to-year is influenced by elevated levels a year ago. So your days inventory is still elevated.
Michael Mente: We're seeing softness in the apparel categories, fashion apparel as well as dresses, which for us is a large category. So we separated now, as you mentioned, beauty is growing and strong, as well as handbags and accessories. So on a high level, it's kind of like the better apparel across -- as Mike mentioned earlier, across the board, price point styles, occasions and things like that.
Jesse Timmermans: And then maybe on the inventory, Jim. Yes, we're still planning conservatively for the balance of the year, as Mike mentioned. So it will be plus or minus in the same zone with new buys down in the double digits. But we feel good about the balance of the net sales and year-over-year inventory growth despite top line coming in softer than we had initially anticipated.
Jim Duffy: And Jesse, the gross margin guidance seems to imply inflection in the fourth quarter, if I've done my math correctly. Is further inventory improvement central to delivering on that?
Jesse Timmermans: I wouldn't necessarily say inflection, probably plus or minus in the same zone a little bit lighter than in Q3. But on a year-over-year basis, maybe that's what you're referring to an inflection [Multiple Speakers] last year in Q4 is when that pullback started to happen and mix started to pull price into the markdown.
Operator: We'll go next to Simeon Siegel at BMO.
Simeon Siegel: Jesse, did you or could you comment on AOV or ASP, maybe specifically for REVOLVE versus FORWARD to mitigate that mix? Could you also remind us of the sales cadence for the quarter from last year, maybe just how to contextualize the mid single digit July comment? And then Michael or Mike, any help on just how you're thinking about longer term active customer opportunity and just maybe -- whether there's any meaningful difference you're seeing in the new customers versus the prior?
Jesse Timmermans: On the AOV, I would say, we commented on it a little bit earlier and that we're happy with where it's at despite FWRD coming in softer than we had anticipated, and FWRD, of course, carries that higher price point. So within 1% of being bought year-over-year, we're happy with. That said -- REVOLVE is holding us better than FWRD. FWRD is where we saw more decrease in the AOV. So some dynamics at play there and that kind of feeds into inventory discussion and kind of softness in the luxury more aspirational, consumer and working through that inventory. And then on the seasonality or kind of month-to-month seasonality, I think is where you were going on the Q3, month-to-month it's plus or minus in the same zone for July, August, September, within 1 point or 2 point on the year-over-year growth last year.
Mike Karanikolas: And on the new customer side, I think that's certainly one of the bright spots in the current environment that we're continuing to attract new customers at a healthy rate. July new customers came in at a very solid number. And in general, retention on our cohorts has been good. It's just we're comping periods in 2021, in particular, but including parts of 2022 that were elevated over historical norms on some of those cohort retention numbers for both new and existing customers. So there's been a pullback in consumer spend among our demos but we're really happy to see that we're continuing to attract and bring in new customers at a healthy rate.
Operator: Our next question comes from Janine Stichter at BTIG.
Ethan Saghi: You've got Ethan Saghi on for Janine. Can everyone hear me okay?
Mike Karanikolas: Yes.
Ethan Saghi: I just have one question for you guys. I'm just curious, with student loan repayments resuming in the fall, how are you thinking about that with regards to your planning and outlook for the back half of the year?
Jesse Timmermans: We are being cautious [Multiple Speakers] but I would say from the planning perspective, being cautious and that comes through on the inventory side and continuing to -- until we see some green shoots there, taking a more conservative stance. And to some extent, we feel like maybe some of that student loan kind of that looming student loan repayment is already impacting the consumer and her buying behavior.
Operator: We'll go next to Lorraine Hutchinson at Bank of America.
Lorraine Hutchinson: You've spoken about a lot of initiatives around the selling and distribution expenses. Can you talk through the timing of when you think some of these mitigation strategies will kick in? And then what's the longer term goal for this line item?
Jesse Timmermans: No, we're pleased with the progress there. I think we commented last quarter that we've got a couple of dozen individual initiatives again this line item, of course, all that different sizes and scales and timing. But they're already starting to kick in. If you look at the selling and distribution cost per order, that's down in the mid single digits, low single digits year-over-year. So it's already starting to take effect and offsetting some of that return rate pressure, at least on a per order per unit basis. We're also starting to get some relief on the fuel surcharges. If you remember last year, Q2 is when that fuel surcharge really peaked and it started to step down in Q3, Q4, a little bit more in Q1 and now even more in Q2. So feel good about the progress there. And then if you kind of back into where we think the back half of the year is going to be working from our 18.6% this quarter, 18.3% next quarter and then 18.3% for the full year, that implies that there is some efficiencies starting to take place in the back half of this year but more importantly, into next year. And the goal there is to get that number to be back in at least the high 17s over the midterm.
Operator: We'll go next to Oliver Chen at TD Cowen.
Unidentified Analyst: This is Jonna on for Oliver. Just I'm curious about more international expansion plans. It looks like you're investing across different countries. How large these international trends are over time? And also curious on China specifically, how large do you think that business can grow both for REVOLVE and FWRD potentially? And if you've seen any sort of different, noticeable difference in terms of customer demographic behavior in China versus the U.S.?
Mike Karanikolas: So long term, I think international is a huge expansion opportunity for us. We would hope long term to achieve a third of sales or more perhaps approaching 50%. But those are long term aspirations and there's many steps from here to there. China, in particular, is a huge market where we feel like we haven't -- our brand hasn't penetrated in the same way as the US. But we feel like in the echelons of Chinese influencers who matter, we do have penetration and we're really excited about the new Head of Greater China that we brought on, that has a lot of the operational expertise on the marketing side to help us out in that zone to really market the REVOLVE brand in a much bigger and broader way than we have historically. So that's a huge opportunity for us. Obviously, China is an incredibly huge market for luxury and also an aspirational luxury as well. So our hope is that over the coming years, we can grow that into a huge market. But we'll keep you posted with our progress. This is the first step of many in terms of the expansion of the brand marketing in China. And it's probably going to be six to 12 months before we start seeing some of the initial progress from those new steps.
Operator: We'll move to our next question from Rick Patel at Raymond James.
Rick Patel: Just a follow-up on earlier question on promotions. Can you talk about the outlook as you think ahead? Because inventories are in better shape now. But if the environment does end up being soft like it is now, how are you thinking about the use of promos going forward? And I'm curious what gross margins in terms of discounting in the back half versus last year?
Jesse Timmermans: I think on the promotion comment, that was more of a macro comment in that we do see elevated promotions out there still and on top of a pressured consumer. That said, we tend to kind of blaze our own trail when it comes to working through that inventory. We don't necessarily compete head-to-head with others on the promotional front, especially on REVOLVE, more so on the FWRD side where there's more comparable product and more softness there. But we've worked through the inventory fairly well over the last several quarters and feel good about the health there. So we'll continue on this path and be conservative in the new buys for the back half of the year until we see some green shoots again. And our expectations are factored into the margin guidance that we gave.
Rick Patel: And can you talk about the savings related to efficiency in shipping and logistics. It sounds like that's factored in the guidance also. But just curious how much of a tailwind this would be and how meaningful this could be as we think about margins beyond this year?
Jesse Timmermans: Working from the 18.6% of this quarter getting to an 18.3% for the full year implies already some efficiency gains this year, and that will continue into next year as a lot of these initiatives didn't start to kick in and won't start to kick in until the back half of the year. And the goal there is to get that back into the 17s over time. Not commenting on exactly when that is, but I would say over the -- kind of over the midterm, we think we can get there next year at some point, maybe the full year doesn't quite get there, but next year at some point. And then we haven't talked about fulfillment yet either, a lot of capacity and utilization gains to be had there. So there'll be further efficiencies, especially as we head into next year and optimize the space on our fulfillment network layering more automation, more processes and just efficiencies with scale as we lap this increasing return rate and get back into growth mode.
Operator: Next, we'll go to Noah Zatzkin at KeyBanc Capital Markets.
Unidentified Analyst: This is Ashley on for Noah. Just one on international growth. I know you guys called out Mexico and China, both at strength but just conversely, are there any countries you maybe highlight that are trending softer relative to your expectations? And then with the share buyback, does that take the possibility for M&A off the table for now or how are you thinking about the opportunity there?
Mike Karanikolas: So in terms of softer markets, generally, we're seeing the western more developed markets softer, which includes, obviously, the US as well, but on the international side, those western markets, so Europe, UK, Canada. Australia, generally a lot softer than we would like to see. And then in terms of the -- on the share buyback and the M&A, it doesn't take M&A off the table but certainly, we feel like we have a healthy cash position and we recognize this is a great opportunity to put some of that cash to work and what we believe will be a very accretive way. And it's one of the luxuries of being such a cash generative business where we're able to achieve growth and cash generation at the same time where we feel like we can invest and grow the business at the same time as returning capital to our shareholders.
Operator: And we'll take our final question from Janet Kloppenburg at JJK Research Associates.
Janet Kloppenburg: A lot of questions have been asked around the inventory, but I was just wondering if you could talk a little bit about selling trends where you are happy with the response rate and where the full price selling is good. And if there's any directional change in what your core customers are spending money on perhaps more casual versus dress up or categories like that, accessories, et cetera. And I was also wondering if you could break that segmentation down between the domestic customer and the international customer?
Michael Mente: Speaking to merchandising, we feel good about our inventory position, because we're seeing the slowness across the board. It's definitely not too much of this, I need more of that. We feel like we have the right merchandise in appropriate zones, just not top line and demand is just not quite there. We've historically always been strong going out flows, we continue to see going out dress it will be important of course being the summer time, the time they are seasonally, there's a lot more casual warm weather, casual clothes, vacation clothes and things like that. So historic strength, certainly its about the development of some of the more nascent categories, some of that we might not historically be as known for, but we're quietly making progress behind the scene in that as well. And maybe I'll let Mike or Jesse speak to the international trends, or differences?
Mike Karanikolas: On the international side of the business, in those developed markets, we're seeing certainly similar trends as we're seeing on the domestic side, which is -- why don't you account for the very big macro shifts in demand from the COVID period to the post-COVID sort of exclusion in going out close where -- we're generally seeing across the board, the demand is not quite where we'd like it to be. But we feel good about our progress with our various initiatives on the inventory front, the revolving inventories in a very healthy place. And then some of those longer term areas that have been growth areas for us such as beauty are continuing to show growth even through kind of this macro environment that's a bit tougher for us.
Operator: And that is all the time we have for questions today. I will turn the call back to management for closing remarks.
Jesse Timmermans: Thank you, everyone, for joining our call. It's clearly a turbulent time, but I assure you that we're very, very focused and quite, quite pleased despite our top line numbers and our financial results in this quarter not being far from where we want to be. We're quite pleased with the progress we're making and in future. So excited to join with you guys in three months' time.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.